Operator: Good day, ladies and gentlemen. Welcome to Noah Holdings Limited Third Quarter 2014 Results Conference Call. At this time, all participants are in listen-only mode. Following management's prepared remarks, there will be a Q&A session. During the Q&A session, we ask that you please limit yourselves to two questions and one follow-up, so that we may have greater participation. If you would like to ask additional questions, you may reenter the question queue to do so. As a reminder, this conference is being recorded. Joining the conference today are Ms. Jingbo Wang, Co-Founder, Chairman and CEO; Ms. Frances Chia-Yue Chang, Executive Director and acting CFO; Ms. Ching Tao, the newly appointed CFO. After the close of the US market on Tuesday, Noah issued a press release announcing its third quarter 2014 financial results, which is available on the company's IR webpage, ir.noahwm.com. This call is also being webcast live and will be available for replay on the company's website. I would like to call your attention to the Safe Harbor statements in connection with today's call. The company will make forward-looking statements, including those with respect to expected future operating results and expansion of its business. Please refer to the risk factors inherent in the company's business and that had been filed with the SEC. Actual results can be materially different from any forward-looking statements the company makes today. Noah Holdings Limited does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under the applicable laws. The results announced today are unaudited and are subject to adjustments in connection with the completion of the company's audit. Additionally, certain non-GAAP measures will be used in our financial discussion. A reconciliation of GAAP and non-GAAP financial results can be found in the earnings press release posted on the company's website. I would now like to hand the call over to Ms. Wang. She will be speaking in Chinese and her statements will be translated into English. Ms. Wang, please go ahead.
Jingbo Wang: [Foreign Language – Chinese] Thank you, operator and thank you all for joining us today. With tem today, is Ms. Frances Chia-Yue Chang, Executive Director and acting CFO of the Company and Ms. Ching Tao, our newly appointed CFO. Today I will begin the call by reviewing our performance in the third quarter of 2014 and discussing the progress of our corporate strategy. Now I'll ask Ms. Chang introduce Ms. Tao to all of you. Afterwards Ms. Tao will discuss the detail of our third quarter financial and operating results. We'll be happy to take your questions after that. [Foreign Language – Chinese] In the backlog of a slowing economy, we still achieved solid performance in the third quarter. The value was of wealth management product distributed during the quarter was RMB 18.4 billion or $3 billion, a 52.8% increase year-over-year. Total registered clients reached 66,069, a 31.9% increase year-over-year. For the quarter, we distributed financial products to 4,091 active clients, an increase of 82.2% compared to the same quarter last year. Net revenue and non-GAAP net income was $62.9 million and $19.5 million interest of 51.7% and 27.6% respectively. [Foreign Language – Chinese] For all wealth management business, we have completed building our distribution network layout. In the first and second tier cities in China. By the end of third quarter, we have registered branch offices in 60 cities in China and continue to penetrate in each area. We also separate the local team with tier 1 [ph] geographic area to motivate elite staff. In fact, we have in total 91 branch offices included all the local teams as of the end of third quarter. This strategy helped us to control overall fixed cost and improved productivity. While the number of clients and the scale of asset under management continue to increase. We maximized the number of clients each level of relationship managers conserve to ensure better quality of services. With the popularity of internet, traditional sales channels and business mode are undergoing profound changes. We launched the brand new Noah mobile application in the third quarter. This application was positioned as an online community of Noah's high net worth clients. It was very efficient and convenient for Noah's member to directly communicate with the relationship managers, have our teams online with management. We are also conducted product roadshow and provided product information to our customers through this application. At the same time, relationship manager can serve their clients, at a more efficient way. [Foreign Language – Chinese] Noah's relationship manager act as asset allocation financial advisors to high net worth clients. About seven top performing relationship managers and 20 institutional clients and their family members attended the family wealth management and asset allocation program at Wharton Business School in Philadelphia, this past August, to further enhance their professional skills and deepen their customer service capability. In the first nine months of this year, the average productivity of each relationship manager increased about 22% from last year. The turnover rate of our top relationship managers and the branch office general managers was less than 5%. [Foreign Language – Chinese] We established and developed new brand and team for our institutional client service this year called Noah Institutional Wealth Management. We have made meaningful progress in building brand recognition. Institutional client contribution was about 17% of total transaction value in the third quarter and the purchase of our RMB 3 billion was our financial product in the quarter. Noah is focusing on providing tailor-made products to institutional and enterprises clients. The insurance company, commercial bank, public listed companies are the primary target customers. At the same time, we also grow our product team to focus on institutional and enterprises client. We believe, our institutional business will build its rapid growth as a product and high end service team mature. [Foreign Language – Chinese] Benefitting from our internet service platform and our asset management capability, our type of clients was broadened from high net worth individuals to include high net worth families, white collar professions and institutional and enterprises clients. Along with the expansion of our customer base, our comprehensive advantage was further enhanced. [Foreign Language – Chinese] For asset management business, Gopher asset has grown to be our core business. It has now become a leading asset management company in China focused on fund of funds, in private equity, real estate, hedge funds, credit products and family office business. We also provide both RMB and US Dollar investment opportunities in all of the above titled products. Over the years, Gopher Asset Management have strengthened its investments capability and provided outstanding investment return to gain the recognition of our clients. At the same time, while the overall economies become weaker in China. We further improved our risk control and management system, leverage our core competitiveness of seeking high quality assets and the efficient post-investment risk management to bring safe investments and high return to our clients. In the third quarter, about RMB 7.3 billion AUM matured and the AUM had expected returns. With this RMB 7.3 billion matured in the quarter, our total AUM remained at RMB 47 billion level. On the same time, the portfolio of AUM has become more diversified as real estate related products contribution decreased from 74% to 66%. Private equity investment increased from 14% to 18%. Private equity and other products contribution increased from 12% to 16%. [Foreign Language – Chinese] In the third quarter, we have launched long-term alternative investment product, which including private equity, fund of funds, real estate fund, hedge fund of funds in US Dollar. Multi-strategy hedge fund and the investment funds focusing on equity restructuring of state-owned enterprises. Those products were all well accepted by high net worth clients. [Foreign Language – Chinese] We believe high net worth clients demand for global diversification will continue to increase. While types of products are now efficient to meet the demand. We continue to launch more US Dollar investment products through our Hong Kong office and successfully completed fund raising for fund of funds in hedge funds, credit funds and private equity. US Dollars products accounted 4.5% of our total transaction value in the first nine months of this year. We are confident to offer clients global asset allocation solution, by further diversifying our offshore product and partnering with leading asset management globally. [Foreign Language – Chinese] In our insurance business, the types of policy most popular with our clients are the high covered accident injury insurance and the global medical insurance product. By the end of the third quarter, Noah acquired insurance agencies so 17,817 insurance policies. The main insurance product, we launched including high-end medical insurance, general accident insurance, aviation accident insurance, serious and terminal illness insurance and life insurance. [Foreign Language – Chinese] As of the end of third quarter, our micro-lending business has provided short-term financing to over 360 customers with total loan extended existing RMB 1.36 billion. The average loan maturity was 39 days. The average loan amount was RMB 2.9 million. All of the loans were collateralized without any late payments or default. [Foreign Language – Chinese] In the internet financing business, we have made significant progress in the third quarter. First, we introduced the [indiscernible] the comprehensive internet financing service platform for Chinese white collar profession. This platform provides private banking services to white collar employees through cooperation with good quality enterprises. [Indiscernible] offers high end financial services to white collar employees, which including wealth management product, the insurance product, education programs and employee benefit program to specific group of clients. Our customer base was further expanded into mass affluence. We foresee the huge market potential that allows management needs from Chinese middle class. We will continue to launch online P2P financing service and online payment system for our registered clients. The online P2P business will be collateralized by the borrowers Noah Financial product or real estate property. [Foreign Language – Chinese] As we extend both our wealth management and asset management business. These control remains to be our core competency in the third quarter, that further improved and the reconstruct the company as risk management system to promote internal rating of non-standard products and stress the supervision of self-compliance. At the same time, we also further systemize the process and improve the ability of handling this events. In August, we made public announcement to clarify status of the asset management plan of [indiscernible] one to four, in response to certain in actual rate report regarding relevant topics in Chinese media. Shortly after, we discovered that [technical difficulty] management violate the term and agreed investment strategy of the asset management plan to use plans under the plan for other investment projects. [Indiscernible] media and for access matters including reporting [indiscernible] management potential fraudulent action to the relevant and local public security board and quickly controls and preserves funds under the plan. As well as additional assets patched [ph] that concerned counter parties. We will do our best to protect the rights and interest of our clients to ensure the criminal investigation procedure to be completed smoothly, so that the asset management plan will repay upon maturity or before date of maturity. From a positive point of view, we think, this is a test to deal with risk event. This event, made us further understood importance of preventing fraud in the wealth management and asset management industry. At the this moment, the event is still in jury [ph] process we'll keep close communication with the investors to discuss substantial steps. [Foreign Language – Chinese] Next, I would like to discuss the development of China's financial industry the regulatory environment. Regulator continues to mould the development of the asset management industry particularly private equity. In May, the government issued a set of policy highlighting the needs to develop the private equity industry in China. As private equity industries regulation and policy become more established and stand aright. Many times the restricted financial advisor are expected to be lifted and the private equity industry will become the more innovative business compared to other financial area. Without historical stress and relationship in the sector Noah is well positioned to capture our opportunities in this market. [Foreign Language – Chinese] We are confident in the future development of asset and wealth management businesses in China. According to the recent global wealth report, Taipei [ph] consulting companies and China Merchant Banks. They [ph] were to access of 840,000 individuals with more than RMB 10 million investable asset in China by the end of year 2013 equals to around RMB 27 trillion [ph] investable for asset, a 20% increase from the top. Citi's securities report also indicate that the number of high net worth families in China reached RMB 2.38 million with average financial assets of $3.7 million. In the next five years to 10 years [ph], wealth management demand from white collar professions high net worth individuals, families and institutional clients will have a tremendous potential to grow or continue to benefit from our end-to-end and [indiscernible] business model. Establish comprehensive service platforms highly selective asset management strategy with our core capability of seeking high quality asset on this management to further growth market share and improve profitability. We believe, we'll improve our competitive advantage along with the time. [Foreign Language – Chinese] With that, I'll Ms. Chang, our Executive Director to introduce our newly appointed CFO Ms. Ching Tao, after that Ms. Tao will share with you our financial and operating measures of the third quarter, 2014. Thank you.
Frances Chia-Yue Chang: Thank you, Madam Wang, hello, everyone. Before updating our third quarter result. I'd like to introduce Ms. Ching Tao as our newly appointed Chief Financial Officer and congratulate Ms. Tao for the new position. Ms. Tao has more than 18 years working experience in investment and financial management sector. Prior to joining the company, she started as the Chief Financial Officer of Charter Group Holding Limited, a high and large scale department store operator from 2011 to 2014. She also worked at Goldman Sachs in Hong Kong, in Europe and Beijing from 1996 to 2011 and most recently was Executive Director of the Investment Banking Division of Goldman Sachs in Beijing. Ms. Tao received an MBA degree from Columbia Business School in 1996. I'm confident that Ms. Tao's well sought financial and managerial experience will continue to provide Noah's prudent, financial management and the intense investor communications. Ms. Tao started to transit with me for our office and has become familiar with the company's operation and management. I will remain as company's Executive Director and will assist Ms. Tao with any additional transit work. Next I will ask Ms. Tao to share with you our third quarter financial information and both of us will be happy to take your questions along with Madam Wang.
Ching Tao: Thank you, Madam Wang and Frances and good evening, everyone. I'm excited about the opportunity to play this important role in the development of Noah and look forward to working closely with Madam Wang and the entire management team to further enhance our financial management and communication with investors to deliver long-term shareholder value in the years ahead. With the strong demand of wealth management needs from our clients. Our diversified products mix and constant risk control. The overall quarterly performance including transaction value, net revenues and net income, all improved significant from last year. Net revenue with $62.9 million, which increased 51.7% year-over-year. Non-GAAP net income was $19.5 million representing a 27.6% growth rate year-over-year. Transaction value reached RMB 18.4 billion or $3 billion, which is a 52.8% growth rate year-over-year. Total net revenues for the quarter reached RMB 62.9 million and increased 4.8% compared to the second quarter of 2014, excluding the performance fee, the $11.4 million recognized in the second quarter. Revenue growth was driven by strong transaction volume and increasing recurring revenue, which was further enhanced by our growing asset under management. For the composition of our products in the third quarter private equity product decreased to 11% of transaction volume, compared to 20% last year and 29% in the previous quarter. Equity and other products increased to 30% compared with 1% last year and 5.5% in the second quarter of 2014. Fixed income products still remain the majority that declined to 54% of overall transaction value, this quarter compared to 76% in the third quarter of 2013 and 64% in the second quarter, 2014. These results lead to our continued focus and efforts to diversify our product mix as Madam Wang mentioned in her remarks. Third-party trust product accounted for about 12% of total transaction value compared to about 8% in the second quarter of this year and 9% in the first quarter of this year. The effective one-time commission rate for this quarter was 0.91% which increased slightly from the second quarter. The related part of revenues include 7% of total revenues this quarter compared to 46% in the same period last year and 54.6% in the second quarter of this year. Again, excluding the performance fee of $11.4 million recognized last quarter. Recurring revenue is 55.4% of third quarter revenues compared to 51.9% in the same period last year and 60% for the second quarter, this year excluding performance fees. Growth in both related party revenues and recurring revenues is driven by our asset management business and the private equity products, we distributed. In the third quarter, assets under management was $7.6 billion remaining at the same level at the second quarter, due to products maturing in the third quarter combined with new assets under management. Our asset management business contributing about 60% of our total recurring revenues in the third quarter of 2014. We again, set a record in total active clients this year with 4,091 active clients representing an increase of 82% from 2,245 a year ago. Average transaction value per client for the third quarter was RMB 4.2 million excluding the mutual fund products compared to RMB 5.4 million of the same period last year. The decline in average transaction values due to change in our product mix. Operating margin was 36.4% in the third quarter compared with 41% a year ago and 39.6% in the previous quarter. The decrease in the third quarter was due primarily to an increase in HR and IT infrastructure expenses as we continue to develop our internet finance business and other value added services as Madam Wang mentioned in her remarks. Excluding the impacts of investments in the new businesses, the operating margin was 40% which is in line with historical trend. The non-GAAP net income reached $19.5 million in the third quarter representing 27.6% growth rate year-over-year. Our non-GAAP net income margin was 32.3% compared to 38.2% a year ago and 36.1% in the previous quarter. Excluding the impacts of investment in the business area, our net income margin was 35%, which is in line with historical trend. Profitability remains at a healthy level as a scale of our business grows and we will continue to focus on delivering profitable growth in 2014. Our balance sheet remains very solid and liquid. The combined amount of cash and cash equivalents was $258.5 million representing a $43.8 million increase from the previous quarter. Our business continues to generate positive operating cash flow of $16.3 million this quarter, mainly due to the net profit performance and good efforts in accounts receivables collection. We'd like to reiterate our 2014 guidance of non-GAAP net income to be between $72 million to $76 million. This range represents growth of 27% to 34% on a year-over-year basis. With that, we'd be happy to take any questions. You may have, operator?
Operator: (Operator Instructions) and our first question comes from Ella Ji at Oppenheimer
Ella Ji – Oppenheimer: First the question is relating to this issue with [indiscernible] the entire Beijing [ph] just wondering, if you have any idea with that in the timing on that this issue will be solved and also, do you expect incur any losses or expenditures associated with that and if so, I was just wondering if you have reflected this year may your G&A accrual expenses or has that not being reflected in your current P&L?
Jingbo Wang: [Foreign Language – Chinese] I'll answer your first question. We do not foresee any negative impact of financial performance due to [indiscernible] case. We believe, we have a accrued certain amount of legal fee in this quarter's SG&A. [Foreign Language – Chinese] Yes, we believe that we should be able to solve this issue before the maturity of the asset management plans, just to give you to remind everyone this is one year product, which is supposed to be matured before the end of June, next year 2015.
Ella Ji – Oppenheimer: Got it, thank you. That's very helpful. My second question is still relating to your full year guidance. I think your full year guidance is indicating the net income for fourth quarter, is it declined quarter-on-quarter and also the year-over-year growth is also deceleration from third quarter. I just wonder, if you can provide some colors behind that. Are you also expecting revenue will be declining quarter-on-quarter and also how about the margins expectations for 4Q? Thank you.
Ching Tao: Hi, Ella. Let me explain this way. We expect revenues to go down a little bit. The fourth quarter remains historically strong. Historically, fourth quarter has been weaker compared to the other quarter. I mentioned earlier that, we have had some margin compression meaning slightly declining margins. This is due to investment in our internet finance businesses increased HR and IT cost, which is reflected in our financials. We will continue to invest in the fourth quarter in those areas. So we will continue expect our margins to go down a little bit, but excluding the impact of those investments in new business area. Our margins are completely in line with historical trends reflecting cost control and managing our expenses.
Jingbo Wang: [Foreign Language – Chinese], Yes Madam Wang just wanted to ask, that will further invest in the new business. We'll drive higher value in the company in the long run.
Ella Ji – Oppenheimer: Got it. Thank you. I'll get back to the queue.
Operator: The next question comes from Michael Li, Bank of America
Michael Li – Bank of America Merrill Lynch: [Foreign Language – Chinese] There are two questions from Michael to the management. The first question is regarding about the product type is the third product, that other product accounted about 30% of the total transaction which as a big interest quarter-over-quarter. So he'd like management to further explain on that, what has been included in the other part? Well, the second question was related to number of increase of the relationship managers. So the relationship manager number increased about 40% year-over-year. So he'd like the management to explain the reason behind that and going forward situation?
Jingbo Wang: [Foreign Language – Chinese] Yes for Michael's first question. The other product for this quarter actually included a huge amount of secondary market product. Our fee structure of this kind of product is quite similar to others. We charge 1% of management fee on those and for some of the secondary market products, we also will have some performance fees recognized in the future and for his question on the relationship manager, actually the 200 relationship manager increased in this quarter was kind of planned out in the beginning of this year. For example, we add new relationship managers for our institutional business that we talk about in the square [ph] for our more institutional wealth management team. right now, Noah already has team in Beijing, Guangzhou and Shenzhen and we will further expand and also the new relationship managers that we have hired this year, will have seen the quality and the first time, that they have sell was at Noah, that the time has shorten and the quality has also increased.
Michael Li – Bank of America Merrill Lynch: [Foreign Language – Chinese]
Jingbo Wang: [Foreign Language – Chinese] thank you.
Operator: (Operator Instructions) at this time, I would like to turn the conference back over to Jingbo Wang for any closing remarks.
Jingbo Wang: Thank you all for joining us today. We look forward to update about our fourth quarter results in a few months ahead. Thank you everyone.
Operator: The conference has concluded. Thank you for attending, you may now disconnect.